Operator: Good day ladies and gentlemen, and welcome to the Q2 2014 Waste Connections earnings conference call. My name is Theresa and I will be your operator for today. At this time all participants are in listen only mode. We will conduct a question and answer session towards the end of the conference. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Mr. Ronald Mittelstaedt, CEO and Chairman. Please proceed, sir.
Ronald J. Mittelstaedt: Okay. Thank you, operator and good morning. I like to welcome everyone to this conference call to discuss our second quarter 2014 results and provide both a detailed outlook for the third quarter and updated outlook for the full year. We come to you from Sunriver, Oregon, this morning, where our senior team is attending our western region management retreat for a few days. I’m joined this morning by Steven Bouck, our President; Darrell Chambliss, our COO; Worthing Jackman, our CFO, and several other members of our senior and our western region management team. Better than expected E&P waste activity and consistent solid waste pricing growth continue to drive strong performance in the year. In the second quarter, we again exceeded the upper end of our outlook in almost every metric. For the first six months of the year revenue increased 7% year-over-year, while EBITDA and free cash flow both grew faster, up almost 10% and 19% respectively. EBITDA margins have expanded 80 basis points and free cash flow has exceeded 20% of revenue. The strength in free cash flow generation is especially notable given the more than $20 million increase in cash taxes year to date. Looking at 2014, we remain on track to exceed or – to meet or exceed our original full year outlook for both revenue and EBITDA. I will provide specific updates on these two items and others in my closing remarks. We are pleased to confirm this higher expectation for these two components of our outlook despite three headwinds that we expect to impact us during the second half of the year. First OCC prices are currently about 15% below prior year levels as compared to our original assumption this year for flat year-over-year commodity values. Second, we are experiencing some cost pressures within our collection system as is typical in this later stage of the economic recovery, and third, we have recently seen both a deferral and reduction in special waste activity after four years of above average volumes. Regarding free cash flow, we are trending closer to our original full year target despite the incremental Capex we are spending to construct the two development stage landfills that were acquired in Q1. We are also pleased to report the construction of these two landfills is ahead of schedule and we expect both sites to open before year-end. In addition, free cash flow will have further upside if the extension of bonus depreciation, which was recently passed by the house retroactive back to January 1 of this year is ultimately signed into law. But before we get into much more detail, let me turn the call over to Worthing for our forward-looking disclaimer as well as other housekeeping items.
Worthing F. Jackman: Thank you, Ron and good morning. We must inform everyone listening that certain matters discussed in this conference call are forward-looking statements intended to qualify for the Safe Harbors from liability established by the Private Securities Litigation Reform Act of 1995, including statements relating to expected volume and pricing trends, expected recycled commodity values, expected E&P and special waste activity, expectations regarding period-to-period comparisons, potential acquisition activity, contribution from closed acquisitions, the timing of permitting and construction activities including new projects, our return of capital to stockholders, and our third quarter and full year 2014 outlook for financial results. Such forward-looking statements are subject to various risks and uncertainties, which could cause actual results to differ materially from those currently anticipated. These risks and uncertainties are set forth in the company’s periodic filings with the Securities & Exchange Commission. Stockholders, potential investors, and other participants are urged to consider these factors carefully in evaluating the forward-looking statements and are cautioned not to place undue reliance on such forward-looking statements. The forward-looking statements made herein are made only as of the date of this conference call and the company undertakes no obligations to publicly update such forward-looking statements to reflect subsequent events or circumstances. On the call we will discuss non-GAAP measures such as adjusted EBITDA, adjusted net income and adjusted net income per diluted share, and adjusted free cash flow. Please refer to our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measure. Management uses certain non-GAAP measures to evaluate and monitor the ongoing financial performance of our operations. Other companies may calculate these non-GAAP measures differently. I’ll now turn the call back over to Ron.
Ronald J. Mittelstaedt: Okay. Thank you, Worthing. Revenue in the second quarter was $524.7 million, up 7.2% over the prior year period. Solid waste price and volume growth in the quarter were a combined 4.1% broken down as follows: positive 2.6% from core price and positive 1.5% from volume. Recycling, intermodal and other were a negative or were a combined negative 0.4% in the period primarily due to our previously discussed decisions to close and outsource operations at our Tacoma, Washington and San Jose, California, recycling facilities. While our original [volume and] [ph] pricing growth expectation for the full year was to average about 2.6%, we now believe that that could trend upward a bit as we have implemented additional mid-year price increases in certain markets and surcharges where appropriate to offset recent operating and fuel cost pressures. Solid waste volume growth in the period met the upper end of our expectations, but unlike prior periods in which increased disposal tonnage drove the majority of our reported volume growth, we have now anniversaried those landfill trends and in many of our markets, we have moved into the economic recovery stage, where collection is driving the majority of volume growth. This stage of recovery is initially associated with operating cost and margin pressures within the collection system, hence the previously noted supplemental midyear price increases. The good news is that we are getting closer to the point at which higher incremental margin service increases and container upsizing should begin to contribute. As always landfill revenue in the second quarter increased almost 4% year-over-year, but volumes on a tonnage basis declined about 1% as increased MSW and C&D tonnage was offset by a reduction in special waste. MSW disposal volumes increased 5%. Construction and demolition related volumes grew 14%, and special waste volumes declined 18%. Most of the decrease within special waste was associated with our anniversarying of low priced soil jobs typically accepted for daily cover at our landfills working phase, which allow us to avoid the cost to excavate soils on our own. Hence, on slightly lower overall tonnage we still increased landfill revenue in the period year-over-year through a combination of price increases on our landfills and a change in mix. Roll off activity remained strong in Q2. Roll off pulls per day were up about 7.5% on a same store basis and revenue per roll off pull was down just slightly. Pulls per day rose in each of our three solid waste regions with our western region up 2% and our Central and Eastern regions up between 10% and 11%. Recycling revenue was $14.3 million in the second quarter, down about $2.5 million year-over-year as anticipated, primarily due to our decision to close and outsource two operations. These year-over-year volume declines – year-over-year volume-based declines and recycling should start to abate during the second half of ’14, most notably in Q4, when we begin to anniversary the revenue impact of these facility closures. Prices for OCC or old corrugated containers averaged about $121 per ton during the second quarter, down about 6.6% from the year ago period and down almost 10% sequentially from Q1. Current OCC prices are still in the low $120 level, a level which if consistent for the balance of the year will result in year-over-year average price declines in Q3 and Q4 of about 15% and 10% respectively. Compared to our full year expectations provided in February, this lower commodity price could result in up to a 30 basis points margin drag and a penny of earnings per share impact per quarter for the remainder of the year. E&P waste activity remains notably strong as we reported about $78.9 million of such revenue in the second quarter, up almost 26% year-over-year and about 15% sequentially from Q1. Revenue again increased in all basins with the New Mexico Permian, Louisiana offshore and Bakken reporting the biggest dollar same-store improvements. Our new facilities, the landfill in the West Texas Permian and our mud plant in the Bakken contributed about $6 million of revenue in the period. If current trends hold year-over-year growth rates for the remainder of the year will moderate towards the mid-teens as the prior year comps get more difficult. Regarding acquisition and new E&P permitting activity, as noted earlier, we’re on pace to open ahead of schedule the two development stage landfills we acquired in Q1. That said we will wait until the new sites open before incorporating any contribution from these operations into our financial outlook. In addition, we continued to actively work on a number of potential new E&P waste projects to further expand our asset position, especially in the West Texas Permian and the Eagle Ford. As noted in April, we should have a clear picture of the timing for any new projects on our Q3 call in October. M&A dialogs remained active. The closings have proved elusive for several reasons, which we have noted as [deterrents] over the past couple of years. However, we believe as we noted in our earnings release that closing activity should begin to pick up during the second half of the year in both solid waste and E&P waste. Some of these smaller potential transactions were set to have signed by now have slipped into Q3. Currently, we have a larger backlog of active letters of intent in both solid waste and E&P waste than at any time over the last two years. Whether or not such M&A or permitting activity levels pick up, the rapid de-levering of our balance sheet during the first half of the year and the continuing strength in free cash flow generation position us well to plan not only such growth outlays, but also an increased return of capital to stockholders. We will look to increase our quarterly cash dividend on October as we have done each October since commencing a dividend, and we also expect to begin opportunistically repurchasing shares to manage our capital structure. And now, I like to pass the call to Worthing to review more in-depth the financial highlights of the second quarter and to provide a detailed outlook for Q3. I will then a wrap up and provide updated outlook for the full year before heading into our Q&A.
Worthing F. Jackman: Okay. Thank you, Ron. In the second quarter revenue was $524.7 million, a 7.2% increase over the prior year period. Organic growth contributed 6.5% to year-over-year growth and acquisitions completed since the prior year period net of divestitures the remainder. We exceeded the upper end of our revenue outlook for the period by almost $5 million due primarily to higher than expected E&P waste activity and increased lower margin pass-through activities. In Q2 adjusted EBITDA, as reconciled in our earnings release, increased 7.7% to $182.5 million. As a percentage of revenue this was 34.8% or about 20 basis points above the year ago period. We estimate that adjusted EBITDA margins in Q2 within our solid waste business declined about 75 basis points year-over-year due to a combination of items, including increased operating costs within our collection system as Ron previously noted, along with lower year-over-year recycled commodity prices and increased lower margin pass-through revenue. Through the first half of the year, margins in our solid waste business increased about 10 basis points. Margins in our E&P waste business increased about 625 basis points in both the 3-month and 6-month periods ending June 30 on strong incremental flow through from higher activity levels. Adjusting for the items reconciled in our earnings release, the following are certain line items that moved a notable amount in the second quarter from the year ago period as a percentage of revenue: fuel expense decreased 40 basis points; labor and supervisory expense decreased 25 basis points; operating supplies and equipment maintenance, primarily related to E&P waste increased 25 basis points; subcontracted expenses associated with pass through revenue increased 10 basis points; and, medical and risk based insurance expense increased a net 10 basis points. SG&A as a percentage of revenue was similar in both the current year and prior year periods, but within the current year period was a combined $1.5 million expense increase or a 30 basis point margin impact from two items. The first item was an increase in non-cash equity compensation cost resulting from a slight decrease in our assumed RSU forfeiture rate due to reductions in employee turnover over the years, and the second item was an increase through our deferred compensation liability based on the stock market’s performance in the quarter, which is offset by investment income reflected below the line in other income. Fuel expense in Q2 was about 5. 5% of revenue, and we averaged approximately $3.57 per gallon for diesel, which was down about $0.01 a gallon from the year ago period and down $0.05 sequentially from Q1. Depreciation and amortization expenses for the second quarter were almost 12.2% of revenue, down 30 basis points year-over-year primarily due to reductions in depletion expense and to a lesser extent depreciation expense as a percentage of revenue. Interest expense in the quarter decreased almost $3 million over the prior year period to $15.9 million due to lower average outstanding balances and borrowing cost on our bank facilities. Our effective tax rate for the second quarter was 39.2% about in line with our expectation. GAAP and adjusted net income per diluted share in the second quarter were $0.50 and $0.53 respectively. Adjusted net income includes, among other items, an add back for the amortization of acquisition related intangibles. Adjusted free cash flow through the first six months of the year was $208.6 million or 20.7% of revenue, up 18.8% year-over-year despite a $23 million increase in cash taxes over the prior year period. Debt outstanding at quarter end was about $1.93 billion and our leverage ratio as defined in our credit facility was approximately 2.75 times debt-to-adjusted EBITDA. I’ll now review our outlook for the third quarter of 2014. Before I do, we’d like to remind everyone once again that actual results may vary significantly based on the risks and uncertainties outlined in our Safe Harbor Statement and our various SEC filings. We encourage investors to review these factors carefully. Our outlook assumes no change in the current economic environment but it excludes the impact of any additional acquisitions that may close during the period and items such as expense of acquisition related transaction costs, as well as the opening and any contribution from the two landfills we are currently developing. Revenue in the third quarter is estimated to be between $530 million and $535 million, up about 6% over Q3 2013. Solid waste pricing volume growth on a combined basis is expected to be between 3.5% and 4%. Revenue from E&P waste activity is expected to increase approximately 15% and recycling, intermodal, and others should be about a negative 0.5%. Adjusted EBITDA for Q3 is estimated to be between $186 million and $187 million or approximately 35% of revenue. This assumes the estimate of 30 basis points drag for recycled commodity values remaining at the current levels. Depreciation and amortization expense in the third quarter is estimated to be almost 12.2% of revenue, a slight improvement from the prior year period as a percentage of revenue. Amortization of intangibles in the quarter is estimated at about $6.7 million or $0.03 per diluted share. Operating income for the third quarter is estimated to be about 22.8% of revenue. Interest expense in Q3 is estimated to be about $15.9 million and effective tax rate in Q3 is estimated to again be about 39.2%. And finally, non-controlling interest is expected to reduce net income by about $350,000 in the third quarter. And now, let me turn the call back over to Ron for some final remarks and an updated outlook for our full year before Q&A.
Ronald J. Mittelstaedt: Okay. Thank you, Worthing. Again we are extremely pleased with our results in the first half of the year. Strong single digit organic growth has driven margin expansion and double-digit growth in both adjusted EPS and free cash flow. Through six months free cash flow as a percent of revenue expanded 200 basis points to 20.7% of revenue despite significant increases in cash taxes. We have experienced some increase in cost pressures within our collection system typical during this stage of an economic recovery. However, our employees have responded quickly to counter this where possible through additional price increases, new revenue opportunities, cost controls while we wait for the economy to shift into the next gear of its recovery. As we look at our revised outlook for the full year it is simple to sum it up as follows when compared to expectations we communicated in February. Increased E&P waste activity, higher solid waste pricing growth and MSW collection revenue should more offset the dollar impact of lower recycled commodity prices, decreased special waste activity and collection cost pressures. For the full year 2014, we expect revenue to be between $2.045 billion and $2.055 million dollars or $5 million to $15 million above the upper end of our original range. We also expect adjusted EBIDTA to be about 34.5% of revenue, which should meet or exceed the $705 million upper end of our original outlook. We continue to expect net cash provided by operating activities to be approximately 25.5% of revenue and Capex should remain at about $200 million, which we have revised and communicated in April to incorporate the additional outlays to construct the two landfills we acquired in Q1. This upward revision to our full year outlook excludes the impact of any additional acquisitions that maybe completed or the potential contribution of the two new landfills we have under construction, we do expect to open in the fourth quarter. It also excludes any cash flow benefit from the possible enactment of bonus depreciation retroactive to January 1 of the year. We appreciate your time today and I will now turn this call over to the operator to open up the lines for your questions. Operator?
Operator: (Operator Instructions) Your first question comes from line of Derek Sbrogna from Macquarie. Please go ahead.
Derek Sbrogna – Macquarie Securities Group: Hi, good morning guys.
Ronald J. Mittelstaedt: Hi Derek. Good morning.
Worthing F. Jackman: Good morning Derek.
Operator: I'm sorry. His line is disconnected. We got Corey Greendale from First Analysis online.
Corey Greendale - First Analysis : Hi good morning.
Ronald J. Mittelstaedt:  Hi, Corey. How are you?
Corey Greendale - First Analysis: I am good. Ron could you provide some historical context to the trajectory of the recovery in the collections business and namely, it sounds like margins are – are down even excluding the OCC impact just from higher – from pressure on collection – on operation costs there. So when do you expect you get the surface level increases that would be sufficient to offset those cost pressures?
Ronald J. Mittelstaedt: Yes, well Corey, the reality is – is that this business as a whole has traditionally lagged the economic contraction by about 18 months. If you look at our reported numbers, the – the world was screaming we are in a recession and we were still reporting volume growth almost a year and a half later than the economic contraction started and it also lags the recovery coming out by about the same 18 months we would estimate. So we would tell you that we're probably a solid year into that true post recovery period. So we would expect that sometime over the next 6 to 9 – 6 to 12 months at most that we would see that benefit. In – in June, service increases in our collection system outpaced by the largest magnitude we had had service decreases at any time in the last 12 months, and – and for the quarter it outpaced it nicely. So it is starting to occur, but what happens at this stage of the recovery is, as consumption continues to rise and production continues to rise in that business, container rates start going up, you have got more disposal in your collection system, you have got longer hours, you have got higher variable and you are just not yet at the inflection point where that is translating into incremental service. So the good news is that the cost is all into our system and really, going forward from here it should be an incremental benefit after the next few quarters.
Corey Greendale - First Analysis: Got it, and then I had a couple of questions on price, it doesn’t sound like you are meeting a lot of resistance in raising price in your competitive markets, can you just kind of comment on that and ordinarily you step down each quarter in reported price growth just given the denominator gets larger, do you – would you expect that to be – kind of change this year given you are doing midyear price increases?
Ronald J. Mittelstaedt: Yes, number one I would tell you that, price and we are doing selective price increases in selective markets where we have seen the greatest cost increases both associated with incremental disposal and incremental fuel increases and so some are pure core price increases and others are fuel and material surcharges. You are correct, traditionally we would see a dip in Q2 and Q3 seasonally because of the denominator. You saw that go up in Q2. We project right now it will go up again in Q3 by, 10 to 15 basis points in total pricing surcharges. So it is reflective of us recovering some of what we can in specific markets. Obviously in our franchise markets, the largest percentage of our company, that is not something we can do on an immediate time basis. That is something we have to live with and then recapture. Again the good news as we get that incremental benefit next year in both our CPI and in our return on operating cost model.
Corey Greendale - First Analysis: And then also on price, you – I think you said in your, Ron, that you're seeing success in raising price at the landfills. Can you just kind of quantify that?
Ronald J. Mittelstaedt: Yes. We – we have, number one that is not all landfills across the board. That is some very specific landfills where we have gotten a little bit better than the 3% to 4% range that we had hoped for in most of our landfills, and that is also a mix shift as we noted in the comments Corey, where, we – we have I’m going to say chased out some lower priced volumes and that has raised the overall price that we received on the remainder. So thus you saw a decline in special waste volumes of up to 18% like you saw revenue actually be up for the combination. So that was what we are referring to as far as price.
Corey Greendale - First Analysis: Got it, and then one last quick one from me, I think you said that your M&A pipeline is the largest it has been in the last couple of years. Is that on a dollar basis, and I ask partially because I think R360 would've been in your pipeline a couple of years ago?
Ronald J. Mittelstaedt: Yes. That is on a dollar basis. We certainly are not meaning to imply something of the dollar magnitude of R360. R360 would have been right at about two years ago as we – as we closed it in October of ’12 as you know. But, yes, it is excluding R360 it is the largest it has been since then.
Corey Greendale - First Analysis: Great. Thanks and congratulations on the good performance.
Ronald J. Mittelstaedt: Thanks Corey.
Worthing F. Jackman: Thanks Corey.
Operator: Thank for your questions and next question comes from the line of Joe Box, Keybanc Capital Markets, please proceed sir.
Joe Box – Keybanc Capital Markets: Just a quick follow up on Corey’s question, I mean it does seem like those are…
Operator: We got Derek on the line, Derek Sbrogna from Macquarie.
Derek Sbrogna – Macquarie Securities Group: Okay. I actually wanted to ask a follow-up to the previous question as well, I was just wondering if there was any way, as costs get higher at this point in the cycle if there is any way to quantify what that impact was for the quarter and then what – what the anticipated impact is for the rest of the year as well?
Ronald J. Mittelstaedt: Well, that – that is obviously somewhat crystal ballish going forward, but I think – I think if you used –if you used in the realm of about 35 to 40 basis points in the quarter and you took that across two-thirds of our business which is collection orientated of the 500 million plus we reported, and we used 40 basis points on that you would have a good estimation of what we believe it was and that's what we’d expect it to be approximately carrying forward in Q3 at this point.
Derek Sbrogna – Macquarie Securities Group: All right, understood and then if I can just ask one more? You mentioned the debt level fell to 2.75 from little under 3 last quarter, I realize is it partially due to higher EBITDA but you previously said you were comfortable around the three times level. Is there any reason why you are continuing to de-lever as opposed to maybe taking some of that cash and buying back shares sooner rather than kind of delaying and seeing what the M&A activity is going to be for the back half of the year?
Worthing F. Jackman: Sure. Derek as we have said before in the call, we thought we would have signed a couple of acquisitions and potentially actually even funded them in the second quarter which is why we preserved the excess capital in the period. It's just the fact that it slipped beyond June 30th and so you don't see the impact in the quarter. But we think you will see the impact sometime during Q3 on the outlays.
Derek Sbrogna – Macquarie Securities Group: Got it. That's it from me. Thanks guys.
Operator: Thanks for your question. Your next question comes from line of Al Kaschalk from Wedbush Securities. Please proceed.
Worthing F. Jackman: Hey, Al?
Al Kaschalk – Wedbush Morgan: I am here.
Worthing F. Jackman: Okay, good. You better go quick.
Al Kaschalk – Wedbush Morgan: And the comments on the cost, are you putting price both at the collection side as well as landfill or are we, second half of the year, it's going to be on the collection. I wasn’t sure on the midpoint here of the year where you said you are putting on an additional price increases.
Ronald J. Mittelstaedt: Yes, no. it's on the collection side, Al. It's on the collection side predominately in our competitive market footprint on specific customers and lines of business where we are seeing the greatest increase.
Worthing F. Jackman: Right, and if you follow the math that Ron did for the earlier question, if you take that cost pressure in your revenue weighted, it's about 20 or 25 basis points cost pressure. So if we are able to get pricing up as Ron said plus or minus 15 basis points, you can tell that we are recovering about 70% or 75% of that cost pressure as you look at the second half of this year.
Al Kaschalk – Wedbush Morgan: And the receptivity of that price increase has been all right or how would you characterize that.
Ronald J. Mittelstaedt: Yes I mean obviously where it is it is not an across the board increase, Al, it is a selective increase in specific markets on specific customers. So we are trying to be pretty surgical about it because we did do, generally did our rate increases on most of our customers in the first part of the year. So obviously we are not able to go back to those exact same customers six months later. So it is on a specific set of customers and so far the retention rates have been very good.
Al Kaschalk – Wedbush Morgan: On the cost pressure side, I don't mean this to come across, it's snuck up on you but maybe it's just that the economy is showing some of this improvement, but do you feel like the cost of snuck up on you in terms of the operations?
Ronald J. Mittelstaedt: No. Again, I think this is pretty predictable to occur again. If you look at things, our Western region, which is our franchised region and the largest part of the southwest part of the company, remember we get 100% of volume recovery there and that comes back as that and we have seen what does the strongest economic snapback this year there and we do not get adjust price there until we move into the next container size. So and that's where you are already optimized from the labor and a routing standpoint. So it's just as pure cost increase on the labor and variable on the disposable side until you get to that next step function or until you get to recapture it and your annualized rate increases which you have to live with for 6 to 12 months. So, this is nothing that we didn’t expect or snuck up on as per say to your question. I would say in some of the other parts of the country, particularly in the central region. we are experiencing higher turnover due to how strong the economy is in and around the E&P play from Texas up to Dakotas, Colorado, Wyoming, Montana, Kansas and that is putting some labor pressure, so we are having to do some incremental wage adjustment. I mean it is very specific to the geography in the country but I think overall it hurts us little bit here in short run and I say a little because I think where the outline it’s really probably only 10 to 15 basis point impact in the quarter, in total. It’s a good sign economically.
Al Kaschalk – Wedbush Morgan: Very, helpful Ron and finally on E&P talk about the pull forward on our timing with the newly permitted landfills. Is that also demand driven, customer driven, just talk a little bit about that. Helpful.
Ronald J. Mittelstaedt: Yes, the pull forward one is in the E&P site and one is the C&D site. One is the E&P site in the Permian and one is a C&D site in upstate New York. And so the pull forward by us is just reflective of our ability to construct, to engineer and construct quicker than we had hoped and that’s a tribute to our people on the ground and the field. And I would say, it is also our indication that there is a great customer opportunity right now for both of those sites. They are both uniquely situated. We have strong demand, sort of presold for both of those sites for lot of our air spaces and so its combination of things.
Al Kaschalk – Wedbush Morgan: Thanks a lot Ron.
Operator: Thank you. Your next question comes from Joe Box Keybanc Capital Markets. Go ahead please.
Joe Box – Key bank Capital Markets: Alright we will try this again, can you guys hear me?
Worthing F. Jackman: We can hear you.
Joe Box – Key bank Capital Markets: All right great and I apologize if this is asked before but moving what is new guidance implied for solid waste EBITDA margins and E&P margins at the back of the year?
Worthing F. Jackman: We haven’t broken that down Joe but what you would likely see is that E&P margins because obviously we are copying high margins in the year period as we move through 2013 from comparative standpoint. So it’s likely that the E&P margins are up in that 300 or 400 basis point level and solid waste margins would do a little bit better on comparative basis from what you saw in Q2.
Joe Box – Key bank Capital Markets: Perfect, thanks and just a pretty specific question for you on the commercial side, how should we be thinking about the incremental margin at this point in the cycle on commercial when you guys are kind of going through this drag period as opposed to once you start to see the service pick up and the can size increases?
Ronald J. Mittelstaedt: Well you should think of it as we are taking effectively we are taking all of the cost to increase and the next step there is effectively all priced. So the incremental margin is nearly hundred percent because it is effectively just price change because you are already providing -- for example if you’ve got 4 yard container and it has been carrying 3yards and now it’s really carrying 4.5 to 5 and you’re going to upgraded to a 6 yard, you are just getting an incremental price change between a 4 yard and a 6 yard. You are cost on what they’ve been.
Joe Box – Key bank Capital Markets: So are we literally flipping from a negative incremental margin because the cost dragged to a 100% incremental margin?
Ronald J. Mittelstaedt: Yes, I mean in theory 100%, I would say obviously there are some incremental cost. You got can, you’ve got cost to exchange containers and do other things. So, saying at 100% would be very misleading. Obviously that’s the theory but it’s certainly very high.
Worthing F. Jackman: What you are seeing is if you look at over a handful of quarters; you see that incremental volume is coming out at the commercial side in that 40%-45% range but if you dissect it, month to month or quarter to quarter you’ll have periods where again you have the costs early on you don’t get the incremental flow through. I mean you’ve got other periods where you’ve got the high incremental flow through but again looking back over a multi period level, then you see the average of about 40-45%.
Joe Box – Key bank Capital Markets: Perfect, thanks. Just one moment and then I’ll turn it over. On your E&P business and if you look at the back end specifically I think well counts were down there on the quarters about 2%, doesn’t sound like you really saw any of that, may be just due to a third party conversion but can you really help bridge the gap between what happened in wells in the quarter and you guys are just resolved and then maybe just talk about how things are progressing in the back and so far here in July?
Ronald J. Mittelstaedt: Yes, I mean I think what you hit it on in your question yourself Joe being number one I think we are seeing greater converge, we are seeing three things have happened for us in the Bakken right now. Number one, we are seeing greater customer conversion from off-site disposal to -- excuse me, from on site exposure in pits to off-side disposal to someone like us or some of our competitor. So you are seeing that and that is outpacing the reduction in well count. Second thing you are seeing is we have improved our share and so we have had the incremental share improvement in the Bakken and that is in large part due to the fact that we opened our mud plant and we are able to take volumes that we weren’t able to take prior. So it sort of opened up the different ways stream from existing customers for us. So those are the three things that are happening in the Bakken.
Joe Box – Key bank Capital Markets: Understood. Thank you.
Operator: Thank you for your question. The next question comes from line of Scott Levine from Imperial Capital. Please proceed.
Scott Levine - Imperial Capital: Good morning guys.
Ronald J. Mittelstaedt: Hi Scott.
Worthing F. Jackman: Hi Scott.
Scott Levine - Imperial Capital: So I don't know this is -- given whether you can give this but can you give us the sense of what you would expect the -- before your economic contribution to be from each of the two new landfills in 2015? And secondly what do you -- these are more kind of one off opportunities or do you see additional opportunities to engage in new site development either are on Inci or the Southway side?
Worthing F. Jackman: So I will take the first part let Ron take the second part. The first part and I will just bridge you back to what we said in April which is we believe once both these landfills are fully ramped it will get about $10 million of EBITDA contribution. And so if you look at the timing that we see right now from opening I would hope either Q3 or Q4 of next year, we hitting that run rate of a $10 million of EBITDA contribution. Now initially I would expect the C&D landfill obviously to take off quicker than E&P site. As we have noted before when you open an EMP landfill it takes a couple of months for customers to come in, audit the site, accept the site, et cetera. Whereas we don't have that -- necessarily have that kind of delay on the C&D site. So if you look at 2015 the way it plays out I won't be surprised if that the C&D sites contributes a little bit more to the contribution to that $10 million run rate than the EMP site does.
Ronald J. Mittelstaedt: And as far as the second part of your question Scott, I would call these more of a one off particularly on the solid waste side. I mean if you look at things, there is very-very limited new site development that goes on in the country particularly when you are talking about states like this the one we did in New York. In fact I want to say this is the first landfill permitted in over 15 years in New York. New landfill and it was a very long process and it was a CMD landfill and it was the first. So you just don’t see a lot of new landfills permitted. Either MSW or C&D, but I would say we have average doing one every approximately two to three years throughout our footprint we would do one. On the E&P side that's a little different. I mean we hope to do about one to two new development projects a year on the E&P side and those include both disposal sites, processing sites, on the E&P side and I think at least for the next several years we believe we can maintain that pace without cannibalizing any of our existing assets and revenue and assuming that the production and the drilling remains at the current levels or approximately at those levels. We can continue to do that and it would make sense.
Worthing F. Jackman: One thing, I would kind of add to that Bill is that the whenever we are pursuing a new permit obviously in some of these geographies, we are also parallel tracking M&A opportunities. So to the extent that we can accelerate our push in the marketplace by doing a smaller amount of pop up acquisition within E&P, I would say that might trump us pursuing the permit.
Scott Levine - Imperial Capital: Got it, no that makes sense. As a follow-up I guess, I appreciate your comments on cost inflation. How should we think maybe about the index based side of your business whether that has a beneficial impact from what you guys would foresee I think the most of your price reset on that side occur only in the year years maybe getting a sense of what your early thoughts are on index based pricing outlook for 2015?
Worthing F. Jackman: Yes, you will probably see it up normally from what we did this year.
Scott Levine - Imperial Capital: Okay.
Ronald J. Mittelstaedt: I mean the answer to that Scott ends up being what the CPIs end up being for each of the individual markets that underline our business there and that's I mean that's our only hesitation there as you know we get effectively to CPI in some markets we have a cost based formula. So there it will obviously help us but in other cases, where the CPI maybe flat year-over-year, it will somewhat mute that.
Scott Levine : And the majority it does occur early in the year?
 Imperial Capital: And the majority it does occur early in the year?
Ronald J. Mittelstaedt: Yes for the most part that's correct. For the most part a solid 70% to 80% of our resets are in the first four months of the year.
Scott Levine : Got it. Thank you.
 Imperial Capital: Got it. Thank you.
Operator: Thank you for your question. The next question comes from line of from Hamzah Mazari from Credit Suisse. Please proceed.
Hamzah Mazari – Credit Suisse: Good morning, guys this is Bob here on the half of Hamzah. Thank you for taking my question most of them have been answered but just very quickly on the collection side can you give some color on what's are the end markets that are growing the most and that are more responsible for the pickups actually? And if are you seeing any pickup in commercial volumes yet and if there's any function on that front?
Worthing F. Jackman: Sure if you look at the breakdown by regions, the dollar basis, western region had the highest dollar contribution volume growth to volume growth in the period and that's a combination of disposal and collection upticks. If you look at our central region, our central region had the benefit of storms that we talked about this time last year because of the tornadoes that you saw move through the central part of the country. And so, on a dollar basis, with that tough comp. Our central region was slightly down, and our east region continues to be a steady performer.
Hamzah Mazari – Credit Suisse: Great. Great. That's helpful and just a quick follow-up on the M&A pipeline that you guys have said already that stronger than you have even -- that you have seen in a while. How about multiples in that sense, has evaluations given up a little bit or do you still see those high multiples putting a little bit of a damp on speeding up on acquisitions?
Ronald J. Mittelstaedt: Yes. Well I would say a couple of things to that Bob number one, the deals that we are going to get done are going to get done at multiples consistent with what we have traditionally communicated and done because one of the things that slowed in the eight for us as we have remained a disciplined buyer and not chased multiples up on deals to levels that we couldn’t get the proper return. So for what we will see us get done you will see it get done at traditional multiples. The second thing is as I would say that I think that there is some abating nominally of multiples because the reality is that private equity ran around and talked about getting some larger transactions done at very high multiples and they have all fallen through. None of them that they talked about getting throughout the course of the last six months have ultimately closed and in fact they have all walked away because of due diligence issues, financing issues and the reality that they couldn’t afford what they had communicated. So other sellers have seen that they got to be careful when private equity locks in the door and said they can pay them a certain -- a multiple because they are seeing it not happen now. So there is what actually gets talked about versus what actually gets done. So it's a combination of those kinds of things that are happening.
Hamzah Mazari – Credit Suisse: Perfect. That's very helpful. Thank you. Thank you for your time.
Operator: Thank you. The next question comes from the line of Michael Hoffman from Wunderlich. Go ahead please.
Michael Hoffman : Thank you very much for taking my questions this morning.
 Wunderlich Securities: Thank you very much for taking my questions this morning.
Ronald J. Mittelstaedt: Sure.
Michael Hoffman : On the service interval side, couple of questions there, what’s the new business formation outlook? Is that started to show any life? As well as you talk about this late cycle recovery?
Wunderlich Securities: On the service interval side, couple of questions there, what’s the new business formation outlook? Is that started to show any life? As well as you talk about this late cycle recovery?
Ronald J. Mittelstaedt: Yes, Michael that was the most positive it has been in the second quarter. And it was the most positive in June of the months in the second quarter.
Michael Hoffman : So on new business formation alone, just, not just…
 Wunderlich Securities: So on new business formation alone, just, not just…
Ronald J. Mittelstaedt: That's correct. On new business formation the amount of net new customers both on revenue and the number of customers achieved that one new. That were new that came into our system was the most that it had been and for several years in the second quarter and it was the most in June by month that it had been in many years. And that was across the board. In addition to that, our closed businesses were down in each of our regions, in each of the months in the second quarter and I commented earlier on increases versus decreases.
Ronald J. Mittelstaedt: Yes we have been saying for several years quarters is the gross new business trends have been quite strong. It's just the reductions from most business in some cases of new business formation has been what’s hurting us on the next side now as Ron said net new business number in Q2 was as high as in about four-five years.
Michael Hoffman : Alright. That's good. And then is there a risk that as you go for the service interval upgrade at the existing customer that they try to do roll back if you will and how does that sort of play out?
 Wunderlich Securities: Alright. That's good. And then is there a risk that as you go for the service interval upgrade at the existing customer that they try to do roll back if you will and how does that sort of play out?
Ronald J. Mittelstaedt: Yes, I mean Michael, obviously that's always a risk and that's going to happen at times because of the competitive business. But for first off, let me back up. That risk is not a risk in 50% of our business. And that it's going to go to the next service and it kind of go I guaranteed price so let's start with that. So and the other 50% of our collection business, it is a competitive issue. And I would tell you that eight in ten times, we are successful in negotiating new agreement at an incremental price but two in ten times, we experience us pursuing that service increase triggers the customer to seek a competitive bid and we end up in some sort of negotiation. In that case we look to maybe get less of an increase than we would have hoped but extend out our agreement as a trade op for multiple years with that individual customer.
Michael Hoffman : Okay. And then to that on roll backs is it a fair observation that as the volume starts to improve in that service interval cycle all the competition starts to feel better and you have less competitive pressure to have a wider roll back I have said that very clumsily, does the roll back.
 Wunderlich Securities: Okay. And then to that on roll backs is it a fair observation that as the volume starts to improve in that service interval cycle all the competition starts to feel better and you have less competitive pressure to have a wider roll back I have said that very clumsily, does the roll back.
Ronald J. Mittelstaedt: I mean, the reality is a rising tide lifts all boats including our competitors and as peoples, inventory starts to get completely utilized then the competitive aspect and new business formation is out there, private companies will go first to the new business formation because that is an easier source of perused than competitive and so it takes the pressure off of the company such as ourselves or public peers who tend to be more disciplined in raising price service increases. So yes it does.
Michael Hoffman : Okay. And then on the price and volume outlooks in the second half, how would you think of the mix of those two components in context of your 3.5 to 4 versus the first half?
 Wunderlich Securities: Okay. And then on the price and volume outlooks in the second half, how would you think of the mix of those two components in context of your 3.5 to 4 versus the first half?
Worthing F. Jackman: Sure. Again the 3.5 to 4 that we laid out for Q3 will likely look similar to what we discussed in Q2, we think pricing will be in that 2.6%, 2.7% range so in essence it puts the volume somewhere between the 1% and 1.5%. Q4 you will probably see a slight step down like you typically see in pricing again but that puts it kind of a 2.5% plus or minus in volume again, because some of the tougher comps volume for Q4 as we have said all year along will be our weakest on a comparative basis much like Q1 was our strongest. But for the full year if you just take the measure of the full year it would mean volume for the full year is somewhere in that 1.5% range and price somewhere in that 2.7% or 2.8% or so range, so priceless line for the full year just over 4%.
Michael Hoffman : Okay. And then on free cash flow, you had a little bit of a DSO widening I am assuming that is mix for the E&P side, so when revised guidance you reaffirmed the 25.5 for cash flow from ops $200 million CapEx does that reflect any help up on recovery some of that DSO?
 Wunderlich Securities: Okay. And then on free cash flow, you had a little bit of a DSO widening I am assuming that is mix for the E&P side, so when revised guidance you reaffirmed the 25.5 for cash flow from ops $200 million CapEx does that reflect any help up on recovery some of that DSO?
Worthing F. Jackman: No, if we recover that DSO that will be upside to that.
Michael Hoffman : Okay. And then when you think about your E&P waste business, the growth there was great on asset utilization and improving on new facility plus underlying organic growth, existing, what's the price trend? What’s the pricing environment like and if it's moving around is it more one basin versus another?
 Wunderlich Securities: Okay. And then when you think about your E&P waste business, the growth there was great on asset utilization and improving on new facility plus underlying organic growth, existing, what's the price trend? What’s the pricing environment like and if it's moving around is it more one basin versus another?
Worthing F. Jackman: It's actually been fairly stable for the past three or four quarters.
Ronald J. Mittelstaedt: And I think that reflects the rising in volume and relatively stable amount of disposal supply. So obviously that business tends to be much more spot, and volatile but when you have volume rising at the rate that it has it tends to stabilize that, Michael.
Michael Hoffman : Okay and then on the special waste comment, you guys been out there so long time and you tend to have at least some rules of thumb about behavior, what do you think is behind the pullback at this juncture, is this if you had a great run and everybody is exhausted budget or what’s the sense?
Wunderlich Securities: Okay and then on the special waste comment, you guys been out there so long time and you tend to have at least some rules of thumb about behavior, what do you think is behind the pullback at this juncture, is this if you had a great run and everybody is exhausted budget or what’s the sense?
Worthing F. Jackman: No, I think in some cases it's more a question as we've always said it's the unpredictable nature when this project will actually start, we have had a few things they have got pushed out first half of the year, second half of the year as our expectation that second half of the year really means Q4 we've not assumed these projects will start in Q3, so just like special waste is always not predictable, its hard to control the timing about when these projects start rolling through the gate.
Ronald J. Mittelstaedt: Yes, Michael again I would point out remember special waste is generally our lowest price per tonne per waste and that has reflected in us having been down on our comparative basis 18 percentage volume and flat up in special waste revenue really what it is, it is the lots of one or two not the lots but the completion of one or two very large projects that has been ongoing at a fairly low price point for quite some time in a couple of our west-coast market and do not having those replaced by such large projects at the current time, it's really up that is it's not anything it's systemic to special waste throughout our system or anything of that nature.
Michael Hoffman : Alright, so if I ask that differently if you pull out those big numbers, is that recurring small project market is relatively stable then?
Wunderlich Securities: Alright, so if I ask that differently if you pull out those big numbers, is that recurring small project market is relatively stable then?
Ronald J. Mittelstaedt: Very much so.
Michael Hoffman : Okay, so I'm not seeing contracts in special waste as secure issue, it’s more of a comparative issue for you.
Wunderlich Securities: Okay, so I'm not seeing contracts in special waste as secure issue, it’s more of a comparative issue for you.
Ronald J. Mittelstaedt: That's exactly right.
Michael Hoffman : Okay, alright that's good to clear that and then lastly how would you just characterize your hiring practice issues, sort of on a year-over-year basis and I'm asking in the context of as I've been seeing rising volume from my phase I my landfill volume turns into phase II, clutching volumes and that's your cost issue leads to phase III which is your service interval, somewhere in here I'm assuming your headcount starts to grow and how do you think about that that year-over-year comparison of unfilled jobs and that trend?
Wunderlich Securities: Okay, alright that's good to clear that and then lastly how would you just characterize your hiring practice issues, sort of on a year-over-year basis and I'm asking in the context of as I've been seeing rising volume from my phase I my landfill volume turns into phase II, clutching volumes and that's your cost issue leads to phase III which is your service interval, somewhere in here I'm assuming your headcount starts to grow and how do you think about that that year-over-year comparison of unfilled jobs and that trend?
Ronald J. Mittelstaedt: Yes, well let me give you some real time numbers, through June our headcount from yearend through June 30th is up 0.3%, so that's 0.3 of 1% and our volume is up 1.5, so we're gaining incremental leverage on our existing headcount infrastructure just as I think we communicated, we though what happened at the beginning of an expansion because we're filling up system volumes. As you move into that next phase what you are really getting service increases and they are coming through a higher margin if it times right we manage it right that's when you are adding incremental headcount because you are now having to start to add routes back or route days back not just contain or upsizing. So I would expect that to if we were in a, I am using this, 1.5% to 2.0% volume recovery in or volume environment in 2015, I would expect us to probably be closer to a 1% headcount increase next year to handle that.
Michael Hoffman : Okay and then if you thought about --I'm assuming there is always a certain amount of jobs that are not filled just to – to turn over the business?
Wunderlich Securities: Okay and then if you thought about --I'm assuming there is always a certain amount of jobs that are not filled just to – to turn over the business?
Ronald J. Mittelstaedt: Yes.
Michael Hoffman : What's the change and that has been like, is that gone from 1% to 3% because of the growth in the business?
Wunderlich Securities: What's the change and that has been like, is that gone from 1% to 3% because of the growth in the business?
Ronald J. Mittelstaedt: Yes, that has stepped up a bit. You are correct always this is a backlog because you have certain natural attrition or natural attrition rate between people that leave and people that we ask to leave and by the way that’s split about 50:50, is somewhere in that 18% to 20% level, so we’re filling and rounding, we’re filling about 1500 jobs a year, we’re always sliding couple of hundred a month at any time that you are behind the curve on that, we track that very-very closely, that has grown over the course of the last year from about 160 mark to I mean about 120 a month to about 150 a month at its peak, so it’s moved to maybe 20%. We are obviously seeing a tighter labor market and certainly the central portion of the country and that’s where we have our highest rate of turnover and our highest rate of attrition and our greatest wage pressure and that’s driven by the strength in the shale place going on throughout the middle part of the country.
Michael Hoffman : Alright. Thank you very much. And congrats on the numbers.
Wunderlich Securities: Alright. Thank you very much. And congrats on the numbers.
Ronald J. Mittelstaedt: Thank you.
Worthing F. Jackman: Thanks Mike.
Operator: Thank you, our next question comes from Barbara Noverini from Morningstar, please proceed.
Barbara Noverini – Morningstar, Inc.: Good morning, everybody.
Ronald J. Mittelstaedt: Hi, Barbara.
Barbara Noverini – Morningstar, Inc.: Your central region appears to experience more EBITDA margin pressure year-over-year than your eastern and western regions. I know that you have already mentioned labor cost increases in the region due to these healthy levels of activities you are experiencing but along with these healthy regional activity levels are you experiencing more intense competition for new business perhaps in the central regions specifically?
Ronald J. Mittelstaedt: No.
Barbara Noverini – Morningstar, Inc.: Well that's the simple answer!
Worthing F. Jackman: Well, it's the simple business.
Barbara Noverini – Morningstar, Inc.: Anything else going on in the central region that explain that, large jump in, margin contraction relative to your other segment, or regions?
Ronald J. Mittelstaedt: No. just that we probably saw the greatest movement in fuel expense on a local level in our central region relative to other two regions.
Worthing F. Jackman: And we had a change of mix of revenue with the landfills I mean last year again we had the benefit of the storms that we talked about which put that volume into the landfills primarily in Oklahoma and so again you see a slight mix shift in revenue where you have got lower but landfill activity in that region because of the anniversary in storm and again as landfill, incremental volume at landfill as you saw last year it comes in that higher in margin.
Barbara Noverini – Morningstar, Inc.: Got it. Okay. Thanks very much.
Operator: Thank you for your question. And the next question comes from Tony Bancroft from Gabelli Company. Please go ahead.
Tony Bancroft – Gabelli & Company, Inc.: Good morning gents. I just quick question. Do you have any update on the E&P drilling with disposal regulations in the respective basins and is there conversion to the outsourcing is that just the probative of the driller or they are seeing something that's maybe hasn’t been – may be haven’t sort of discussed? And anything with the capacity constrains sort of dynamics that have been going on with regards to permitting in the Bakken?
Worthing F. Jackman: Yes, the regulatory climate is fairly quiet right now. What you are seeing and continue to see is just the decision by the customer to make that move away from reserve pads and into a third party sites.
Tony Bancroft – Gabelli & Company, Inc.: Got it. Thank you.
Operator: Thanks for you question. The next question is from Charles Reading, please proceed.
Unidentified Participant: Hey guys thanks for taking my call. I just want quick follow-on early on the E&P side. What specific business functions are driving margins there? Where do you look to sort of further augment the business I mean is it transport, land reclamation? Really any color there? That is helpful.
Ronald J. Mittelstaedt: Yes, I mean the margin is being driven by incremental revenue on a relatively fix cost basis. Remember, we are – that was the beauty of what we have pursued R360 and it's strategy it is a disposal based platform and like our MSW and CND disposal base platform it is a fairly heavily fixed cost business that incremental revenue comes on at a very high margins. So while I would tell you our guys do a great job of managing the cost structure, if you get incremental revenue, it looks like they do a really good job of managing the cost structure. And so that's mostly what it is, Charles. As far as the – the other part to your question, we are – we are not going to review what we doing strategically but I would tell you that we are looking at further market share and customer penetration by basin through different types of service augmentation in the E&P business and doing so and maintaining our relative margin mix is something we are pursuing and I think you will see us have things that we will announce on that forthcoming.
Unidentified Participant: Great. Thanks. And then in terms of bonus depreciation have you estimated there what that potentially could add back cash to access.
Worthing F. Jackman: It really depends on the timing when it gets enacted. As you look at the balance of the year, there are two tax payments that are still due. One is September 15th, the other is December 15th and the folks on the Hill are speculating that this would likely not get signed in the law until after the November election cycle and so really that leaves you about four or five weeks up until about December 15th tax payment in order to get the benefit in the current calendar year’s cash taxes. So far a fortunate to get that in place and could sidestep, a chunk of that December 15th cash tax payment, then it seems likely in that that $15 million to $20 million range for the full year for getting that this year if not it will slip in the next year and you will see the benefit of that double up next year both the benefit from this year that slip in the next year as well as any benefit for 15th.
Unidentified Participant: Okay, that’s great. Thank you.
Operator: Thank you. And we have no question at this time; I would like to turn the call over to management for closing remarks.
Ronald J. Mittelstaedt: Okay. Well, if there are no further questions, on behalf of our entire management team, we appreciate your listening to and interest in our call today. Worthing and Mary Anne with me are available today to answer any direct questions that we did not cover that we are allowed to answer under Regulation FD and Regulation G. Thank you again and we look forward to speaking with you at an upcoming investor conference or on our next earnings call.
Operator: Thank you ladies and gentleman for your participation in today’s conference this conference. This concludes the presentation you may now disconnect and have a good day.